Operator: Good morning, ladies and gentlemen, and welcome to our 2024 Third Quarter Results Call for Russel Metals. Today's call will be hosted by Mr. Marty Juravsky, Executive Vice President and Chief Financial Officer; and Mr. John Reid, President and Chief Executive Officer of Russel Metals. Today's presentation will be followed by a question-and-answer period. [Operator Instructions] I will now turn the meeting over to Mr. Marty Juravsky. Please go ahead. Thank you.
Marty Juravsky : Great. Thank you, operator, and good morning everyone. I plan on providing an overview of the Q3 2024 results. And if you want to follow along, I'll be using the PowerPoint slides that are on our website and you could find them in the Investor Relations section and it's located in the conference call menu sub tab. If you go to Page 3, you can read our cautionary statement on forward-looking information. So let me start with a little bit of a perspective on Q3. As we think about the quarter, there's a few summary observations. One, there was an awful lot on the go this quarter and I'll talk about that in more detail in a minute, but a special thank you to so many members of the Russell team who worked tirelessly and with such a high-level commitment over the past period of time. Two, the diversity of our business was very evident. There's a different cycle attached to our steel service centers versus our energy field stores. In this past quarter, the service centers encountered the challenges of lower steel prices, but the energy field stores did really well and provided stable margins and higher bottom line results. Three, the countercyclicality of our cash flows is discussed often and this quarter was a very good example. While earnings came down cash flow went up. We generated $163 million of cash from operating activities, including $107 million from non-cash working capital. And if we exclude the $56 million impact of the working capital change that related to the Samuel transaction, our same-store reduction in working capital and cash generation was $51 million. And the fourth item, speaking of the Samuel acquisition. The Samuel integration is going well. The transaction closed earlier in the quarter. There's a lot of moving pieces related to our ongoing initiatives to integrate systems, blend our operations together and generate efficiencies that should lead to further capital reduction, and margin improvement. And I'll talk about those more in a second. So now let's go to Page 5, and give a context around market conditions. We've seen underlying steel prices exhibit a fair amount of volatility over the past while as both sheet and plate prices came down over the past few quarters. Supply chain inventories in both Canada and the U.S. remain modest and suppliers have recently been fairly proactive on the supply side with curtailments both maintenance as well as market-related curtailments. From our customer base, our shipments have been fairly steady other than the seasonal dynamics that did occur in Q3 and will occur and are typical in Q4, as we get into the holiday periods. Given all those moving pieces on supply and demand, there appears to be a basis for a more favorable pricing environment, as we're heading into 2025. On Page 6, we have a snapshot of our historical results. If we look across the various charts going from top left, revenues were up a bit versus Q2 and comparable with the past number of quarters. EBITDA was $67 million. EBITDA margin was 6%. Earnings per share was $0.59 per share. All these were down versus Q2 given the lower margins in our steel service centers. Our annualized return on invested capital came in at 13% and that's a fairly decent result taking into account the down quarter for service centers and the deployment of the extra capital for the Samuel acquisition that didn't yet benefit from a full quarter of contribution. Even though our return on invested capital was down for the quarter, it remained above the levels reported by our U.S.-based comparables. Lastly, in terms of capital structure, we have net cash of $73 million at the end of the quarter and this is after the closing of the Samuel transaction, so we continue to retain a high level of dry powder to deploy opportunistically. If we go to Page 7 have a more detailed financial snapshot. And starting at the top of the page from an income statement perspective. A number of the items I've already covered off, but just to go into a few more items of detail. Revenue of $1.1 billion was up 2% from Q2 and this was primarily driven by a $69 million contribution from the former Samuel branches. Gross margins and EBITDA margins were down, but some of this was due to the margin drag from the Samuel acquisition. As we talked about before, the lower Samuel margins were expected to negatively impact the overall average service center margins and they did so by about 1% and caused about a 40-basis point negative impact on our overall EBITDA margins in the quarter. This is as expected with our focus being to enhance the margins of the acquired business. Our Q3 results were impacted by a few other items of note. Samuel acquisition as I've talked about a couple of times already. It did have a contribution in about half of the quarter where we own the businesses. It contributed a little over $2 million to our EBITDA, but we did encounter a similar amount of non-recurring costs related to the closing. The mark-to-market on our stock-based comp was a $5 million expense versus an $8 million recovery in Q2. So that was a $13 million negative, but a non-cash swing. From a cash flow perspective in Q3, we generated $107 million from working capital. Some of that was a $57 million increase in accounts payable of which most related to the rebuild of the accounts payable that was left behind as part of the Samuel transaction structure. We also had a decrease in inventory on a same-store basis on service centers and steel distributors. As said earlier we closed the Samuel transaction, which on the cash flow statement is reflected at $223 million, but this excludes the impact of the accounts payable that we left behind. When we take into account that rebuild of the accounts payable to September 30, the invested capital related to the Samuel deal comes down to $167 million. Share buybacks were active with 1.2 million shares or 2% of our shares outstanding for a total of $46 million before tax. The cumulative share buyback since August of 2022 is around 10% of our then shares outstanding for $226 million with an average price of $36.62. Our dividend was increased in May of this year to $0.42 per share and we are retaining that level for the current quarter. This $0.42 per share dividend will be payable in mid-December. CapEx of $21 million in the quarter was in line with our tracking and our last 12-month run rate is right around that $100 million mark that we have been talking about before. From a balance sheet perspective as I mentioned earlier, we are in a net cash position even after funding the Samuel transaction and have a net cash balance of $73 million at the end of the quarter. Also in Q3, we closed our new bank facility for $600 million which is undrawn at the end of the quarter. The facility is unsecured with no borrowing base restrictions and investment-grade financial covenants. The remaining $150 million of 5.75% notes that we had outstanding at the end of September were redeemed on October 27. So as of today we no longer have any term debt outstanding. If we go to Page 8 our EBITDA variance analysis last quarter this quarter is reflected. In looking at service centers on the left part of this chart the volumes were down from Q2 due to seasonality as were our margins, but there was also a $6 million reduction in our operating costs which is a function of our variable compensation model that toggles up and down with financial results. So in a quarter with down financial results our operating costs and the incentive comp was also down. For the Samuel branches they contributed $2 million of EBITDA which I mentioned before but there was also non-recurring costs of $2 million. Energy field stores had a really nice quarter. It was up $3 million and steel distributors was flat quarter-over-quarter. In the other bucket as I mentioned earlier there was an unfavorable impact from the higher mark-to-market on stock-based compensation versus the recovery that we showed in Q2. On Page 9, we have our segmented P&L information. And for service centers, our revenues were flat versus Q2, and I'll go into more detailed metrics on the service centers on the next page. Energy field stores. We're continuing to see really good performance. Q3 revenues were up and margins were steady leading to higher overall bottom-line results. Distributors' revenues were up due to continued improvement in overseas logistics, but margins were down which netted to a flat quarter-over-quarter operating profit compared to Q2. If we go to Page 10, we have a deeper dive on the metrics for our metal service center business. Top right graph is the past five years for tons shipped. The Q3 volumes were up 4% versus Q2 reflecting the Samuel contribution. But if you look at on a same-store basis which is that dotted green line on a same-store basis volumes were down versus Q2 and that's primarily driven by seasonality, but it was flat compared to Q3 of last year. On the bottom left graph, we have the revenues and cost of goods sold per ton. Revenue per ton our price realization decreased by $95 per ton, while our cost of goods sold came down by $41 per ton. And the reflection of that is in our margins that you see on the bottom right. Margins came down by $53 per ton but some of that was diluted by the Samuel transaction and that $53 per ton reduction would have only been $35 a ton if we look at it on a same-store basis. On Page 11, we have illustrated our inventory turns. Overall, our inventory turns remained consistent at right around 3.8 turns. By segment our service centers remained strong at 4.0 which was somewhat impacted by the Samuel transaction. Our energy field stores were consistent at 3.4 where our steel distributors improved from 2.3 to 3.6 due to the improved logistics and a reduction of our in-transit inventory. Page 12 we have the impact of inventory turns on dollars. Total inventory was up compared to June 30 and that's due to the addition of the Samuels acquisition. On a same-store basis however, our service center inventories declined by $23 million. On Page 13, we have our overall impact in capital utilization and returns. Capital deployment moved up to over $1.5 billion with the closing of the acquisition. And even though our last 12-month returns were down to 17%, it remains above our cycle average threshold of 15% and remains well above our industry peers, who have already reported their Q3 results. If we go to Page 14, a quick update of our capital structure and there have been a number of changes during Q3 and into the early part of Q4. As I mentioned earlier, in July, we closed the revamped bank deal. Our bank group has recognized the significant evolution of our credit profile and we now have a more traditional investment-grade type bank structure that has no borrowing base formula is unsecured in this pretty flexible financial covenants. The new bank deal was upsized by $150 million from the previous deal and this gives us ample liquidity. On October 27, we redeemed $150 million of 5.75% notes. So, as you look at the pro forma column on this page, we have no term debt outstanding. And so with the redemption of those notes, the previously completed redemption of the $150 million of 6% notes that we did in Q2 and the change in our bank structure, we have removed all the legacy elements of our former debt structure and now have a very, very clean balance sheet and clean slate going forward with significant flexibility. Lastly, our equity base per share continues to remain strong. In spite of $134 million of share buybacks over the past year, we have grown our book value per share by $0.62 versus this time last year. Page 15, an update of our capital allocation priorities and they remain pretty much the same as we've talked about for the last period of time. Given our strong balance sheet, we continue to have this multipronged approach. Investment opportunities, we're looking for average returns over the cycle of 15% or greater and we've delivered well above that target even in a quarter like this where there have been some challenges. The ongoing opportunities are threefold with the value-added projects that we talk a lot about. The facility modernizations and those five that we have are at a near final stage and I'll go through those in a little bit more detail in a minute. In terms of acquisitions, we closed the Samuel deal on August 12 and we are continuing to explore other opportunities. On Page 16, I want to provide a broader context to our reinvestment program. Over the past 12 months, we've invested $97 million in CapEx which is a higher level than in the past. And you can see that progression over the last number of years, as we continue to find more and interesting opportunities for discretionary capital. I expect that we will remain in that $25 million plus or minus per quarter over the next, while as additional discretionary projects come to the table and get completed. On Page 17, we have some updated pictures of our five modernizations that are underway in both the US and Canada. The bottom left is Saskatoon and is a new greenfield location that is replacing older facilities in Saskatoon and the older locations real estate is going to be monetized. The new greenfield is now up and running. The other four pictures are of our other projects in Texarkana, Joplin, Little Rock and Green Bay and they're all sizable additions to our existing locations. These projects in total represent about a 5% increase in the square footage on our service center operations and will support organic growth better workflow and allow for the accommodation of future equipment upgrades in certain of the locations. On Page 8, you see our acquisitions over the past 20 years. The history is a combination of both small and medium-sized transaction with three of the transactions in the past five years being medium-sized and two being smaller tuck-ins. Going forward, I expect to see opportunities that are both small tuck-ins like Alliance in 2023 and Sanborn in 2020, but also stand-alone medium-sized transactions like Boyd in 2021. I've also noted the deal size for Samuel is $167 million as I mentioned earlier, it represents the impact of the closing price less our rebuild of the accounts payable that was excluded from the deal structure. On Page 19, I have a bit more information on the Samuel deal. At the time that we announced the deal back in December of 2023, we stated a total purchase price of $225 million based upon what was then $186 million of working capital, which you see broken out in the left column. As of September 30, 2024 this quarter end, the working capital is in the right column and is down by $58 million, a combination of receivables inventory and accounts payable shift. Most of that shift is the reduction of inventory. As a result of that decrease of $58 million, we've pretty much achieved our initial goal of reducing invested capital by $50 million with ongoing initiatives to further reduce capital and also enhance margins over the cycle. On Page 20, there's a bit of a deeper dive on returning capital to shareholders top left graph. We have our longer-term dividend profile with the just announced $0.42 per share per quarter and we'll continue to regularly revisit the appropriate dividend level to take into account our capital structure and earnings profile as was done when we listed the dividend in both May of 2023 and then again in May of 2024. On the bottom left, we show our quarterly NCIB activity since we put it in place in August of 2020. This illustrates that we don't have a fixed approach to the program, but view it as an opportunistic way to buy shares. One item to note is that we renewed our NCIB, and it took effect in mid of August this past quarter. And we're limited by a daily maximum based upon the TSX to 44,000 shares a day, and that is down from the daily maximum that we had under our previous NCIB, which used to be 73,000 shares per day. On the bottom right chart, the impact of the NCIB has been a gradual reduction of our share count over the past couple of years and has resulted in a 10% reduction to our shares outstanding. On the top right chart, the aggregation of our dividends versus the NCIB over the past two years shows a more balanced approach that has recently been more weighted to share buybacks over dividends. Over the past 12 months, we have acquired $134 million worth of our shares, and the current run rate for dividends is lower than that, around $97 million. On Page 21, I have a summary of our capital reallocation over the past few years that reflects the fairly substantial changes in our approach. On the left chart, we generated a total of about $1.9 billion through $1.5 billion of cash from operations, $400 million through asset sales and a little bit through the exercise of options. On the right, we have a pretty balanced approach to the capital deployment with three roughly comparable sized buckets. In orange, we've invested about $643 million through both acquisitions as well as internal CapEx programs. In blue is $685 million being returned to shareholders through a combination of both share buybacks and dividends. And in green, we show the $584 million of debt reduction/cash rebuild. So again, those blue buckets, orange bucket, green buckets, roughly equal size as it relates to how we've deployed capital over the last number of years. So it gives us an opportunity to both maintain a very flexible balance sheet, reinvest in the growth initiatives of our business as well as rewarding our shareholders through returns of capital. In closing, on behalf of John and other members of the management team, I'd really like to express a strong appreciation to everyone within the Russell family for their contributions. In particular, many people have provided significant leadership and demonstrated commitment and teamwork as we continue to make inroads in advancing our business initiatives. Operator, that concludes my introductory remarks, and so you can now open the line up for questions.
Operator: Thank you very much. Ladies and gentlemen, we will now begin the question and answer session. [Operator Instructions] Our first question will be coming from Frederic Bastien from Raymond James.
Frederic Bastien: Good morning. How are you guys?
John Reid: Good, Frederic. Nice to see you.
Frederic Bastien: First question I have for you. Obviously, with the US election behind us, I guess, initially going into that, there were concerns that the new administration would scrap the IRA at the very least, reduce the number of investments on a go-forward basis. And I recall John saying, I guess, 12, 18 months ago that you were seeing significant demand coming from that particular bill. So I was wondering if you could just comment on that and whether that is potentially a concern of yours.
John Reid: Yeah. Thanks, Fred. Yeah, I think the election yesterday, we will continue to see that carry forward. And I think really would have happened under either candidate, but we'll continue to see that project go forward. I think roughly 20% of the funding has been spent to date. It's already been approved. And so there's still quite a bit of funding to go forward. So we're pretty excited about that. We think Trump was really good for steel. I mean, historically, in this first term, it's very good for steel pricing for reshoring for manufacturing, obviously, for energy as well. So we see the election is potentially very positive for our industry going forward.
Frederic Bastien: Yeah. We certainly saw that in the stock prices of all the US peers yesterday. Just wondering if you could call out any priorities. I mean, if I were to ask you, like what are your top three priorities for 2025? What would they be and what order would they be?
John Reid: Yeah. So the integration of Samuels will move very quickly on that, and that's already underway, but the continued integration there, the continued implementation of our recent value-added projects. Marty talked about the CapEx we spent this year and to continue seeing those things come to fruition. Again, the payoffs on those typically three years or less, so they're moving very quickly. And then continue to look at how we're allocating capital and be opportunistic. Is it through the share buyback? Or is it, again, through other opportunities that we see in the market under acquisitions or under new equipment.
Frederic Bastien: Okay. And just going back to sort of the election is some of our -- some of the companies we cover, we're noticing a bit of a wait-and-see approach in the quarter or at least in the back half of the year, waiting for the outcome of the elections to actually get some projects going. Have you experienced the same kind of phenomenon? And what are your views on -- for the back half of the -- for the very end of the year?
John Reid: Yes. We frankly, it's glad the election is over. It's been tough to take a little bit on television and anything you watch at night, but it has put the US and Canadian economy in a bit of a malaise if you will. I think everything was just on hold and it was very temporal. Now there's direction. Trump is pretty clear on what his policies are and what his direction is going to be. That coupled with potential interest rate decreases I think could really lift us going into next year to a pretty strong start to 2025.
Frederic Bastien: Okay. That’s all for me. Thanks for the detail presentation, Marty. That was great.
Marty Juravsky: Great. Thanks, Fred.
Operator: Next in line will be coming from Davis Baynton from BMO Capital Markets.
Davis Baynton: This is Davis on for Devin Dodge.
John Reid: Good morning, Davis.
Davis Baynton: So it looks like volumes ticked up in the quarter compared to the broader US and Canada markets, which were both down. So it seems like you've gained some market share there in the quarter. Can you please speak just a little more as to what you're seeing in competitive dynamics and then maybe give some color on the underlying market as well?
John Reid: Sure. Now I appreciate it. It's a good catch. Yes we've definitely gained market share and have been doing so for actually several years just chipping away at that market share on the metal service center side both in Canada and the US. And so staying with the service centers again, what we're seeing is our value-added initiative is allowing us to garner more market share that's out there. And so when we go through that that becomes sticky business for us long-term versus the 3-bid and the buy type business that has historically been out there. So that's where our market share growth tends to be coming from. On a same-store basis, obviously with acquisitions you pick up share as well. What we're seeing on the energy field store side based on all the public numbers that we can look at as well is we're growing both on the US and Canada and market share significantly there. Service element of that where we're offering not only the bail fitting flanges but we're also offering the value-add type of things that are out there in actuation repairs. And so that's very similar to the service center where we're offering that value add And then finally on our service center side, we've been growing in non-ferrous and we'll continue that initiative grow significantly in our share there compared to where we were two years ago and we think that could go quite a bit further in the near future.
Davis Baynton: Okay. Great. Thanks. I’ll turn it over.
John Reid: Great. Thanks, Davis.
Operator: Next question will be coming from Maxim Sytchev from NBF.
Maxim Sytchev: Hi. Good morning, gentlemen.
John Reid: Hey, Max.
Maxim Sytchev: John maybe the first question for you. Just in terms – as you talk to clients on the ground maybe any color around the plate pricing and what needs to happen for that commodity to stabilize? Thanks.
John Reid: Yes. So it has been and it's been in a kind of a steady fall where you've seen more of a pulsing fall from the flat roll. As you've seen the new mill capacity come online we've had a little bit of a surge in the market there if you will from domestic capacity in North American domestic capacity. That seems to be balancing out now. Really Caterpillar and Deere some of those have slowed down a little bit. So that allowed some more to go into the market. One of the interesting things though Max when you look at really 1.5 inch and under plate, which is a large portion of that market as energy picks up that's going to go into the energy market to make heavy pipe. And so obviously with the election that we just saw that's – I think energy will pick up in the United States very quickly. So we'll see more pipe being made which will create demand for that 1.5 half thick and under plate that's out there.
Maxim Sytchev: Okay. That's super helpful. And I guess like do you want to maybe build a little bit on the energy end market and how we should be thinking maybe like in 2025? I guess it's contingent on WTI pricing sort of a lot of these things. But yes curious I guess sort of sentiment-wise we should expect growth in 2025 in insurance?
John Reid: Yes. On the energy side just under the Trump Administration, he's going to push the drilling and he's going to push to be energy independent. What we're seeing from some of the data centers and others they're using more clean energy than we can make right now. So we've got a real shortage right now of energy as a whole, be it clean energy or traditional energy. And so Trump's initiatives to go out there and be energy independent and the data sites continuing to come on, the usage of energy that's increasing, we just think there'll be a big surge in 2025 there.
Maxim Sytchev: Okay. Great. Makes sense. And then maybe just one quick question for Marty. Any comments on sort of the recent M&A landscape in the US right now sort of any changes that you're seeing on the horizon or I guess sort of status quo in terms of how you described the market in the past? Thank you.
Martin Juravsky: Yes. We see some really interesting opportunities. And we're very active right now in looking at situations, multiple situations. And so one of the things as we kind of did the Samuel acquisition, a big focus was getting it done, getting it over the finish line, integration. And while that effort is taking place. It's allowed us to also take a pause but look at other situations that could be complementary. So there's a lot of lifting attached to the Samuels transaction by definition because of how it's integrated into our existing businesses. But we are very actively looking at other acquisition opportunities and they would be kind of small to midsized type tuck-ins or standalone businesses that are complementary to what we have. And we just see really some interesting opportunities that probably weren't necessarily there a while ago. I think valuations are making more sense to us. The quality of the opportunities, are probably a little bit better than we saw a while ago. So, we're fairly optimistic that there will be some interesting situations that will evolve on the M&A side.
Maxim Sytchev: Okay. That’s great. Thank you so much.
Marty Juravsky: Great.
John Reid: Thanks Max.
Operator: [Operator Instructions] We have another question from Michael Tupholme from TD Cowen.
Michael Tupholme: Yes. Question relates to the Service Centers segment. Just wondering if you can help us think a little bit about the gross margin percentage that we should be thinking about for the fourth quarter and then as we move out of the fourth quarter into the beginning of next year, particularly in the fourth quarter I guess, just given the moving pieces here with respect to not only steel market dynamics but also full quarter's inclusion with Samuel?
Martin Juravsky: Yes. So let me deal with the very near-term. And so I guess as a starting point there was a lot of noise in Q3, because of the Samuel acquisition and the different margin profile that it has versus our other businesses in the service center side of it. So if I kind of separate that out for the equation. What we saw as we kind of came through Q3 is as we got towards the end of Q3 September and then into October, margins have kind of stabilized. And so the pace of recovery it's hard to ascertain. I wouldn't assume that there's a ton of recovery in Q4. It's really a springboard more into 2025. So, I don't suspect we're going to see a significant change in margins between Q3 and Q4. The biggest on a same-store basis equivalent, the biggest issue is going to be the seasonal dynamic that typically impacts things on Q4, which is more volume-related than margin-related. And that's just the normal dynamic. And if you look at our history over the last, however, many years, Q4 is always down from Q3 because of the loss of operating days. And that's separate apart from margin. But margin is pretty much stabilized towards the end of Q3 for us and into October.
Michael Tupholme: Okay. Perfect. So does that cover off though, when you say things have stabilized I think if I understood correctly you're talking about sort of the underlying base business. Does that include whatever impact Samuel is going to have on the fourth quarter to think about sort of stable quarter-over-quarter? Or does that change the picture relative to what you just described?
Martin Juravsky: At the margin, it changes it by a little bit. But at the end of the day, what we try to do is break out the separate Samuels numbers, so you have some visibility on that and break out our same-store numbers. So we have some separate visibility on that. So, some of my comments were really on an apples-to-apples basis same-store. And then Samuels, as an add-on piece to that, Q3 was kind of a push. It shouldn't be a push in Q4, because we did only have half a quarter of contribution and we did have some one-time costs. But in the big scheme of things they weren't all that material when you put it all together but we did put that disclosure out there. But my comment, Mike, was more on the same-store equivalent basis of margins Q3 versus Q4.
Michael Tupholme: Got it. Thank you. Can you maybe also -- I think you touched on it briefly in the prepared remarks but just as far as sort of integration priorities through the end of the year and as you get into next year with respect to the Samuel Service Center acquisition?
John Reid: Yes. Thanks Mike. Marty touched on it. But again, it's going to be inventory and we'll look at inventories where there's duplications. We've got an opportunity to free up working capital that would be redundant. So we're well underway on that now but there is some more opportunity to do that through fourth quarter and into early first quarter, so that we get our turns in line with our normal turns that we see at Russel. Improved operating efficiencies will be out there as we move towards our ERP, and that's going to lead to some operational synergies over time. But we've got to get converted to our ERP system for the same as folks who are on the same system we're seeing the same things. And then we will look at the opportunities to maximize equipment that we have to make sure we're running it at full capacity. That's already started. And then the last piece is we will look at the facilities footprint for rationalization.
Michael Tupholme: Okay. And can you remind just, sorry, on the ERP and systems side, when would be the expected time for cutting over fully onto your own systems, and I guess moving off whatever transition services arrangements might exist?
John Reid: Yes. We're targeting mid next year sometime. We've got extended contract with Samuel on that, but we're targeting sometime mid next year.
Michael Tupholme: Perfect. And then just one last one. I mean we're clearly used to trying to keep an eye on steel markets. But with respect to nonferrous, I'm wondering if you could provide a bit of an update there in terms of what you're seeing in the markets that are relevant and potentially a little more meaningful to you going forward here, given the increased activity in that area?
John Reid: Yes. And we win in nonferrous much like we did carbon products. So we're going in trying to, say, we want to do the medium to small-type orders. So we're not tied to one big industry. So we're not tied exclusively to aerospace. Again, we're not tied exclusively to the tank builders. So we have a very diverse customer base. So far that we've been able to accomplish which, again, is our model. It helps us turn our inventory better. What we're seeing is the pricing seems to have stabilized and nonferrous and aluminum is actually coming up a little bit in pricing a little earlier than we're seeing in carbon. And so we think we're in a good point. We're turning our inventory in very similar turns that we do in carbon. There are some longer lead times on a handful of products and extrusions that are not made in North America. But it's been a very slow systematic approach to try to maintain what's made us successful on the carbon side of the business.
Michael Tupholme: All right. I appreciate the detail and I’ll get back in the queue. Thank you.
Marty Juravsky: Thanks, Mike.
Operator: Next question will be coming from Ian Gillies from Stifel.
Ian Gillies: Morning, everyone.
Marty Juravsky: Hey, Ian.
Ian Gillies: When you originally did the Samuel acquisition, you had a chart in the deck that showed the invested capital in Samuel potentially falling to $125 million at some point if things went right. But given what we've seen in the quarter and some of the commentary made on the call, I'm wondering if that could get a bit better than perhaps even what you thought at the time of acquisition?
Marty Juravsky: Well, let me start with, so at the time of acquisition it was $225 million. We're below $170 million already. And so the things that John was just referring to some on the working capital side, a little bit could be -- could come when we integrate the systems. The next biggest piece is through potential real estate monetization with the rationalization that John was talking about. So that will take a little bit of time to unfold as we think about the ideal footprint and where locations, and how many locations in each market. So it's not unreasonable to think that we can't reduce invested capital from the current level of $167 million to something less. But the next leg of it is going to be a little bit of working capital and it's going to be the most meaningful part of it will be related to some potential monetizations of real estate and we're at the early stage of thinking through those moving pieces.
Ian Gillies: Understood. That's helpful. Maybe following on Mike's questions. The revenue per ton for Samuel looked reasonably strong in the quarter. Obviously, you have some work to do there on the cost structure. But on a gross margin per ton basis, is there any reason to think why Samuel couldn't get to the same percentages that Russel has? Or is there something structurally different in that business?
John Reid: So there's a couple of things. They have a large nonferrous presence in Western Canada. And so that's going to set things up just a little bit different on the cost and the margin basis. And then they do a lot in flat roll processing, which is a lower margin business. And so their cost structure, although we do some of those things at Russel, they're larger and nonferrous. And the flat roll processing for both of those is a lower gross margin business, which ends up ultimately being a lower EBITDA margin business. So their structure is a little different when you blend them together than what we look like across Russel as a whole but it should be similar overall but again it may not be identical.
Marty Juravsky: And I think that's in part why when we talk about the gap between our margins and their margins coming out of the gate, we acknowledge that there was a difference. We acknowledge there was the opportunity. And if we get $0.50 on the dollar that's a huge win, if we get more than $0.50 on the dollar towards bridging that margin gap that's even more substantial. So for our planning purposes, we think we can bridge the gap. Whether we get all the way there, we don't have that full road map yet but we know we can achieve a reasonable amount of that gap.
Ian Gillies: Understood. And then maybe last one on capital allocation. Obviously last time we did one of these calls, I don't think Samuel was closed. And with the NCIB you've been quite active and the bands of how you think about using that have they now shifted up with how aggressive you'll be given you have a new asset in there and theoretically a higher intrinsic value?
Marty Juravsky: Our philosophy remains the same. The exact details around that get tweaked from time to time and they've been tweaked over the past couple of years as well. So our philosophy remains being opportunistic on the NCIB, the exact parameters where we do stuff it will change and it has changed from time to time as we -- I think as you rightfully point out as we revisit our view of intrinsic value.
John Reid: For sure.
Ian Gillies: Okay. Thanks very much. I appreciate that. I’ll turn the call back over.
John Reid: Great. Thanks, Ian.
Operator: We have another question from Michael Tupholme from TD Cowen.
Michael Tupholme: Thank you for taking follow-up. Just a question on steel distributors, there was some discussion about the arrival of the previously delayed shipments in that segment in the third quarter. Just wondering if when we look at the results for steel distributors like are these representatives of run rate type levels or was the arrival of those shipments did that in any way sort of distort things here, just trying to get a sense for if this is kind of a good representative quarter or not.
Marty Juravsky: It was a little bit different in terms of a quarter. And if you kind of take this quarter and put in the context of Q2 and Q1 for that matter those logistic issues started to clear up tail end of Q2 and continued into Q3. So part of what we saw in Q3 was a bit of a bulge out of our Canadian business. But the contrast was also our U.S. business which tends to be more transactional and doesn't have that same offshore dynamic it didn't have the benefit. So between the two of them Q3 was a really good quarter, but it did benefit from the surge of those logistics. So our Canadian business probably comes off a little bit as we go into Q4 and Q1. There's a seasonal element there. But the flip side of which is our U.S. business probably picks up a tad.
Michael Tupholme: Okay. That's helpful. Thank you. And then, you provided some pretty good detail in terms of your thoughts around acquisition potential. But I guess just trying to get a sense is the messaging here that there are more opportunities. And you're sort of more active than we've seen in the past given I guess the environment? Or is this just sort of consistent with the way you've always approached acquisitions and you'll be opportunistic and we'll take a look at things, but certainly be disciplined.
Marty Juravsky: A little bit of all of the above, Mike. So some of it is our approach has remained the same. So we haven't changed. We continue to look opportunistically. Our criterion is our criteria are things that are important to us remain the same. I think what's changed is the stuff that we are seeing is a little bit more interesting and aligned with what makes sense for us. So we're more optimistic today than we might have been a while ago. And so again what has changed? We haven't changed but the opportunities appear to have changed.
Michael Tupholme: Perfect. And sorry, I apologize, if you addressed this, but does the fact that you recently closed Samuel and there's certain things that need to be done and focused on there does that in any way create a situation where for the foreseeable future you're less likely to be active on the M&A front? Or is it not really relevant?
Marty Juravsky: No. The Samuel, transaction is a lot of lifting internally integrating systems all that kind of stuff. So we wouldn't do anything that was Samuel 2.0 right now that was the equivalent -- that had that kind of systems personnel integration lifting. So what that means is we can look and do look at other acquisitions, but nothing as complex as we're currently integrating on Samuel.
Michael Tupholme: Great. That's makes perfect sense. Thank you.
Marty Juravsky: Great. Thanks, Mike.
Operator: There are no further questions at this time. I'd now like to turn the call back over to Mr. Marty Juravsky, for final closing comments.
Marty Juravsky: Great. Thank you, operator, appreciation to everyone for joining the call today if you have any questions feel free to reach out at any time. Otherwise we look forward to staying in touch during the balance of the quarter. So much appreciated, thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a great one.